Operator: Good day, ladies and gentlemen, and welcome to the Q4 2015 Ctrip.com International Ltd. Earnings Conference Call. My name is Devan [ph] and I will be your moderator for today. [Operator Instructions] I would now like to turn the conference over to your host for today, Mr. Shu Wei Zhou [ph], Senior IR Director. Please proceed.
Unidentified Company Representative: Thanks, Devan [ph]. Thank you for attending Ctrip’s fourth quarter 2015 earnings conference call. Joining me on the call today, we have Mr. James Liang, Chairman of the Board and Chief Executive Officer; Ms. Jane Sun, Co-President and Chief Operating Officer; Ms. Jenny Wu, Chief Strategy Officer; and Ms. Cindy Wang, Chief Financial Officer. We may during this call discuss our future outlook and performance which are forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, our results may be materially different from the views expressed today. A number of potential risks and uncertainties are outlined in Ctrip’s public filings with the Securities and Exchange Commission. Ctrip does not undertake any obligation to update any forward-looking statements except as required under applicable law. James, Jane and Cindy will share our strategy and business updates, operating highlights and financial performance for the fourth quarter, as well as outlook for the first quarter of 2016. We will also have a Q&A session towards the end of this call. With that, I will turn to James for our business update. James, please.
James Liang: Thanks, Shu Wei [ph]. Thanks to everyone for joining us on the call today. We had another strong quarter with great results. The Company continued to execute well, with revenues up 50% year over year. We're also happy to see significant operating margin improvement in the quarter versus a year ago. After so many events occurred in the last several quarters, I would like to take this opportunity to update our long-term growth target, the coordination with our invested companies, and the importance of outbound travel in our overall strategy. Let's first talk about our future growth potential. We mentioned in the past that Ctrip's annual GMV could reach RMB700 billion by 2020. After recent investments we made in travel-related companies, we have updated our long-term GMV target. In 2015, Ctrip, along with its invested companies, generated more than RMB350 billion in GMV. With favorable secular industry trends and solid execution, the annual GMV is expected to reach between RMB1.2 trillion to RMB1.4 trillion by 2020. There are several favorable factors that drive the GMV growth. First, China's travel industry will continue to grow faster than the overall economy due to the country's economic transition from an investment-driven economy to a consumption-driven economy. Second, online travel booking only account for a small fraction of China's overall travel industry. More and more travelers will book their hotel rooms, flights and tour online, especially through mobile devices. Third, as industry leader, we have the scale, well-known brand, high-quality service, leading technology, and comprehensive product offerings, which will position us as the key beneficiary of these favorable industry trends. Fourth, new travel products such as those offered by our new business units will further contribute to the overall GMV growth. More travel offerings will also increase cross-selling opportunities and the customer stickiness. And lastly, with rising personal income, more and more Chinese are looking to explore attractions further away from home. Outbound travel will be an important growth driver for the industry and Ctrip for the years to come. Now let's move on to coordination between Ctrip and the invested companies. As you know, we have become a strategic investor of some travel-related companies. These investments enable us to reduce irrational pricing competition and should over time put the industry back on a healthy and a sustainable growth trajectory. Going forward, both Ctrip and its invested companies will focus on their core customers who have been traditionally strong in the mid to high-end customer segments, while the invested companies have built a name for themselves in their respective niche markets such as the younger customers in lower-tier cities. By focusing on core customer bases, the Ctrip Group can spend marketing dollars more efficiently. So we have more financial resources to invest in product development, improving service quality and expanding product offerings. These improvements will eventually lead to a healthy online travel ecosystem that better serves the travel demand. Lastly, I would like to talk about the importance of outbound travel which will continue to be a key growth driver. China's GDP per capita is gradually reaching USD8,000, a tipping point beyond which outbound travel will start to pick up. We saw such trends in countries like South Korea and Japan many years ago. At this point, Chinese outbound travelers account for less than 10% of total population, a share that is much lower than those seen in the U.S. and in South Korea markets. Only a small portion of the Chinese population has passports, so there is a long way to go. Many countries have already implemented the critical [ph] policies, including easing visa restrictions to attract Chinese travelers. With 750,000 international hotels, flight throughout - connecting more than 5,000 international destinations, and more products and destinations under development, Ctrip has the most comprehensive outbound travel offering and is in a great position to benefit from fast-growing outbound travel market. Overall Ctrip is the best-positioned player operating in one of China's most promising industries and we will seize the opportunity and grow Ctrip into world's largest Internet companies. With that, I will turn the call over to Jane for operating highlights.
Jane Sun: Thanks, James. I'm pleased to share updates with Ctrip's main business with you. First, on hotel and other accommodations. At the end of the fourth quarter of 2015, Ctrip's domestic hotel coverage reached 360,000 hotels, increasing by more than 50% year over year. In the quarter, total revenue grew 41% compared to the same period last year. Outbound travel continued to be a key driver for hotel business. With our investments in the travel-related companies, we are seeing pricing competition to become more rational. Second, on transportation ticketing services, total transportation revenue grew 61% year over year in the fourth quarter. Continuing its fast-growing momentum, during the peak day of [inaudible] travel season, the number of passengers who booked through Ctrip's transportation platform exceeded 2 million. Train tickets maintained its strong growth momentum, with volume growth exceeding 250% year over year. Bus ticketing continued to expand quickly, now covering over 3,000 bus terminals across the country. During the peak day of October 1, the total number of bus ticketing sold through Ctrip exceeded 300,000 per day. Air ticketing continued to grow nicely, driven by healthy volume growth. International air ticketing revenue continued to maintain a much faster growth rate. Our comprehensive transportation offerings and strong data analysis capabilities enable us to offer various combinations of multiple transportation mode to help transport our customers from door to door, significantly improving the user experience. Third, packaged tours. Packaged tour revenue continued to grow at a healthy rate, up 50% year over year and driven by strong volume flow [ph]. Mobile is becoming an increasingly important platform for packaged tour bookings. During the spring festival, the share of tours booked through our mobile exceeded 50%. In 2016, we'll focus on collaboration with partners throughout the travel supply chain, improving efficiency and product innovation. We already have 14,000 packaged tour vendors and travel agencies on our platform. The recent transactions with YouTour is a perfect example of our efforts to add more partners to the platform. It gives us more access to local packaged tour suppliers, especially in Europe market. Over the time, the packaged tour business will transition from a platform that just sells packaged tour products to a platform that works very closely with suppliers, offering them not just used traffic in booking orders but also vendor support such as yield management, product marketing and aftersales service and real-time management services. Fourth, on corporate travel. The corporate travel grew its revenue by 26% year over year. The percent of Chinese companies that use travel management service is only about 10%, significantly lower than 40% share in the U.S. market. And the corporate travel management market is very fragmented. A lot of small and midsized Chinese enterprises do not use travel management service. As a result, we believe there is a long way to go for us to grow the corporate business in the Chinese market. And lastly, I would like to comment on the accomplishments we have made in 2015. 2015 was a great year for the Company. Internally, our Company executed very strongly, grew the top line by 48%, and improved operating margins by 470 basis points. Externally, Ctrip also made strategic investments in several travel-related companies. We have helped significantly reduce irrational price competition and put industry onto a sustainable growth path. As always, we're deeply appreciative of the devotion from our employees and business support from our partners who have paved the way for us to reach where we are today. We will continue to invest in the new initiatives and in the key areas to strive to achieve better operating results going forward. Now I will turn the call over to our CFO, Cindy, for financial highlights.
Cindy Wang: Thank you, Jane. For the fourth quarter of 2015, Ctrip recorded total revenues of RMB3 billion or USD468 million, representing a 50% increase from the same period in 2014. Total revenues for the fourth quarter of 2015 decreased by 10% from the previous quarter, primarily due to seasonality. For the full year ended December 31, 2015, total revenues were RMB11.5 billion or USD1.8 billion, representing a 48% increase from 2014. Accommodation reservation revenues for the fourth quarter of 2015 were RMB1.2 billion or USD183 million, representing a 41% increase year on year, primarily driven by increase in accommodation reservation volume. Accommodation reservation revenues decreased by 14% from the previous quarter, primarily due to seasonality. For the full year ended December 31, 2015, accommodation reservation revenues were RMB4.6 billion or USD713 million, representing a 44% increase from 2014. The hotel reservation revenues accounted for 40% of the total revenues in 2015 and 41% of the total revenue in 2014. Transportation ticketing revenues for the fourth quarter of 2015 were RMB1.2 billion or USD192 million, representing a 61% increase year on year, primarily driven by an increase of 143% in ticketing volume. Transportation ticketing revenues increased by 3% from the previous quarter. For the full year ended December 31, 2015, transportation ticketing revenues were RMB4.5 billion or USD688 million, representing a 51% increase from 2014. The transportation ticketing revenues accounted for 39% of the total revenues in 2015 and 38% of the total revenue in 2014. Packaged tour revenues for the fourth quarter of 2015 were RMB350 million or USD54 million, representing a 50% increase year on year, primarily driven by an increase in volume growth of organized tours and self-guided tours. Packaged tour revenues decreased by 41% from the previous quarter, primarily due to seasonality. For the fourth quarter ended December 31, 2015, packaged tour revenues were RMB1.7 billion or USD257 million, representing a 58% increase from 2014. The packaged tour reservation revenues accounted for 15% of the total revenues in 2015 and 14% of the total revenues in 2014. Corporate travel revenues for the fourth quarter of 2015 were RMB136 million or USD21 million, representing a 26% increase year on year, primarily driven by an increased corporate travel demand from business activities. Corporate travel revenues increased by 9% from the previous quarter. For the full year ended December 31, 2015, corporate travel revenues were RMB473 million or USD73 million, representing a 27% increase from 2014. The corporate travel reservation revenues accounted for 4% of the total revenues in 2015 and 5% of the total revenues in 2014. For the fourth quarter of 2015, net revenues were RMB2.9 billion or USD444 million, representing a 50% increase from the same period in 2014. Net revenues for the fourth quarter of 2015 decreased by 10% from the previous quarter. For the full year ended December 31, 2015, net revenues were RMB10.9 billion or USD1.7 billion, representing a 48% increase from 2014. Gross margin was 73% for the fourth quarter of 2015, compared to 69% in the same period in 2014, and remained consistent with the previous quarter. For the full year ended December 31, 2015, gross margin was 72%, compared to 71% in 2014. With a very disciplined expenses increase, income from operations for the fourth quarter of 2015 was RMB95 million or USD15 million, compared to loss of RMB401 million or USD65 million in the same period in 2014 and income of RMB405 million or USD64 million in the previous quarter. Excluding share-based compensation charges, income from operations was RMB292 million or USD45 million, compared to loss of RMB274 million or USD44 million in the same period in 2014 and income of RMB539 million or USD85 million in the previous quarter. For the full year ended December 31, 2015, income from operations was RMB381 million or USD59 million, compared to loss of RMB151 million or USD24 million in 2014. Excluding share-based compensation charges, income from operations was RMB1 billion or USD158 million, compared RMB346 million or USD56 million in 2014. Operating margin was 3% for the fourth quarter of 2015, compared to a decrease of 21% in the same period in 2014 and 13% in the previous quarter. Excluding share-based compensation charges, operating margin was 10%, compared to negative 14% in the same period in 2014 and 17% in the previous quarter. For the full year ended December 31, 2015, operating margin was 3%, compared to negative 2% in 2014. Excluding share-based compensation charges, operating margin was 9%, compared to 5% in 2014. Net income attributable to Ctrip's shareholders for the fourth quarter of 2015 was RMB76 million or USD12 million, compared to net loss of RMB224 million or USD36 million in the same period in 2014 and net income of RMB2.4 billion or USD380 million in the previous quarter. Excluding share-based compensation charges, net income attributable to Ctrip's shareholders were RMB272 million or USD42 million, compared to net loss of RMB98 million or USD16 million in the same period in 2014 and net income of RMB2.5 billion or USD401 million in the previous quarter. For the full year ended December 31, 2015, net income attributable to Ctrip's shareholders was RMB2.5 billion or USD387 million, compared to RMB243 million or USD39 million in 2014. Excluding share-based compensation charges, net income attributable to Ctrip's shareholders was RMB3.2 billion or USD486 million, compared to RMB739 million or USD119 million in 2014. Diluted earnings per ADS were RMB0.19 or USD0.03 for the fourth quarter of 2015. Excluding share-based compensation charges, diluted earnings per ADS were RMB0.69 or USD0.11 for the fourth quarter of 2015. For the full year ended December 31, 2015, diluted earnings per ADS were RMB7.11 or USD1.1, compared to RMB0.79 or USD0.13 in 2014. Excluding share-based compensation charges, diluted earnings per ADS were RMB8.8 or USD1.36, compared to RMB2.42 or USD0.39 in 2014. As of December 31, 2015, the balance of cash and cash equivalents, restricted cash and short-term investment was RMB29.7 billion or USD4.6 billion. From accounting perspective, Ctrip has consolidated Qunar's financial results since December 31, 2015. So for the business outlook of the first quarter of 2016, the Company expects to continue the net revenue growth year on year at rate of approximately 75% to 80%. With that, operator, we open the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of David Jin, representing Goldman Sachs. Please proceed.
David Jin - Goldman Sachs: Hi. Good morning, management. Thank you for taking my question. My first question is regarding your long-term GMV projection. Thanks, James, for the color on RMB1.2 trillion to RMB1.4 trillion by 2020. So my concern, number one, is the GMV including Qunar and eLong, and secondly, can we know the mix from both segments or breakdown across air, hotel and packaged tour, and also the mix between domestic and outbound, in terms of long-term outlook? Then I will have quick follow-up. Thank you.
Cindy Wang: Yes. Thanks, David. The GMV including the -- our consolidated financial statement of the companies, of the invested companies, and in terms of the GMV in different product segments, still the transportation ticketing accounts for the majority of the total GMV.
David Jin - Goldman Sachs: And would you mind projecting a mix of outbound and domestic, if possible? Thank you.
Cindy Wang: Yeah. Now the outbound travel still accounts for comparatively small portion of the total GMV, but the outbound, total outbound portion grow much faster than the domestic part. So through the year 2020 we do expect a significant portion of the GMV contributed by our outbound travel business.
David Jin - Goldman Sachs: Thank you, Cindy. My follow-up question is regarding your packaged tour business, because Jane also just mentioned on the call that you just had a transaction with YouTour and also it seems that you have been restructuring your packaged tour business ever since second half last year. So, can we understand more of your long-term outlook of this business from both revenue and margin outlook, and also your strategies in terms of your mix of in-house offerings and open platform offerings? Thank you very much.
Jane Sun: Sure. The packaged tour business is growing very well. We opened up our platform, not only providing the tours that we packaged ourselves but also open to all suppliers to make sure our coverage, pricing and time to market is the best in the market. So, right now, probably half of them are self-made and half of them are from our suppliers. And going forward, for the popular travel destinations, we will continuously to strengthen our product offerings by giving different options to our customers. So for the first-time travelers, they prefer to go with a group. And young travelers, they prefer to do self-tour package. We also innovated product, which is called Family Package, so you can customize your product to your family needs. And that business also is growing very fast. So that's the forecast. And this packaged tour is very unique because Ctrip already has the hotel customers as well as the air ticketing customers. So when they go abroad, naturally they will use Ctrip's outbound business packaged tour to make it easy for young families and for their groups. So we are very positive for this business. In terms of margin, the margin should be in-between hotel and air tickets, because it's a combination of hotel and air.
David Jin - Goldman Sachs: Thank you, Jane and Cindy. Thank you very much. I'll get back to the queue.
Jane Sun: Thank you so much, David.
Operator: Your next question comes from the line of Vivian Hao, representing JPMorgan. Please proceed.
Vivian Hao - JPMorgan: Hi. Thank you for taking my question. I have a couple of quick questions more regarding the near-term outlook for Ctrip. First of all, if it's possible, can you provide us the core organic Ctrip volume growth outlook for both air and hotel for Q1? And the second question is regarding more on the airline ticketing side. So, given the recent dispute between airline and also Qunar, do you see any need for a strategic realignment given the situation recovery is industry-wide for OTA? Further, on the outbound long-haul segment for air ticketing side, what is our plan to take market share given the increasing competition from airline direct sales? Thank you.
Cindy Wang: Sure, Vivian. Ctrip's goal is to continuously gain more market share by achieving very healthy and sustainable CAGR rate at about -- at around 30% from now to the year 2020, just as Jane said. By then we will have a total GMV of around RMB1.2 trillion to RMB1.4 trillion. And in terms of the organic, because Ctrip do share some inventory with our invested companies, so it will be very difficult for us to provide a separate guidance on Ctrip alone revenue forecast. And for the air ticketing business, Ctrip will work together with airlines, and we share the same vision that we need to provide the most reliable product to our customers. And empowered by Ctrip's best [ph] technology among the industry as well as the scale, Ctrip has the ability to provide the highest service standard and the most comprehensive product offering to our customers, and at the same time to control our distribution costs within a very reasonable range among all the industry players. Therefore, we believe Ctrip actually created value to our customers, our partners, including airlines, and ultimately we will create value for the whole air distribution industry over the long run. For the international air ticket, international air ticket always is the key growth driver for Ctrip's transportation ticketing and product line. And the international air ticket has the highest industry growth rate. And Ctrip has the best product offering in the air ticket international, especially international air ticket product offering. So, Ctrip is now in the best position to capture the highest growth rate with our mid to high-end customer base. Thank you.
Vivian Hao - JPMorgan: Thanks.
Operator: Your next question comes from the line of Binnie Wong, representing Merrill Lynch. Please proceed.
Binnie Wong - Merrill Lynch: Hi, management. Thank you for taking my question. So my question is on the pro forma basis. If we look at the consolidation of the two companies, does that imply a pro forma growth of about 40%? Is that growth trend comparing to 2015 we see in Ctrip and your sister company? This seems to be a little bit slower. Is that because of re-factoring of the macro impact? Or how should we look at this? Also, can you just share with us on the -- your growth outlook, the mix, like the growth on your key core business segments? Thank you.
Cindy Wang: Sure, Binnie. Yeah, just as I said, the sustainable and healthy CAGR rate from our -- to the year 2020 to achieve our goal will be around 30%. I think the guidance pretty much in line, we believe we are on the right track to achieve our long-term growth. In terms of the revenue guidance in -- for the different product lines. For the accommodation reservation revenues, we expect to grow 70% to 80% year-over-year revenue growth. And the transportation service will grow about 100% to 110% year over year. And the packaged tour will have a very healthy growth at about 40% to 50% year on year.
Binnie Wong - Merrill Lynch: Okay. Thank you. And then I have a second follow-up, just on your margins trend in 2016. In your opening remarks you have mentioned a few times about that the pricing competition is getting more rationalized. And then also balanced with your investment in product developments and also in our new baby, the baby tigers, how should we think about for the margin trend this year? Thank you.
Cindy Wang: Yes. In addition to the more aggressively to continuously gaining our market share, we will improve our profitability to bring our non-GAAP operating margin back to the 20% to 30% level, which is the mid to long-term forecast of our margins.
Binnie Wong - Merrill Lynch: Great. Thank you.
Cindy Wang: Thank you.
Jane Sun: Thanks.
Operator: Your next question comes from the line of Dick Wei, representing Credit Suisse. Please proceed.
Dick Wei - Credit Suisse: Hi, good morning. Thanks for taking my questions. But first question is on baby tiger initiative. I wonder if you can share with us what is the revenue and profitability contribution outlook for this year. Thanks.
James Liang: Okay. Yeah, we actually -- we call them a new business unit and not all of them are so-called baby tigers because some of the baby tigers are growing -- so, grown-up, so they are becoming young tigers. We don't call them tigers, we call them new businesses. Some of them actually, you know, not doing very well, I mean that's expected. Some will survive, some will become really big, and some will just die. And so, some -- so we are having to be very successful in some, some of them redirect their effort to become new initiatives. So I can't -- so we don't call them a group because they, you know, this is just a transition, so, some will become really big, some will become redirected through new other initiatives. So we still have these -- every year we still have new incubative new projects. And currently it's a creative distraction [ph] process and it's ongoing.
Dick Wei - Credit Suisse: Great. And maybe if I can follow up, for sales marketing maybe expenses this year. What is the strategy difference between maybe last year and this year? Like, what are some of the key areas of spending into 2016 different from the landscape? Thanks.
Jane Sun: Sales marketing, we will still use ROI as our benchmark to deploy our resources. So, obviously, the higher ROI area will get the most of the investments. But every year we carefully look at the available channel and we do AB [ph] testing for the channel to make sure whether every dollar we spend in the sales marketing channel will generate the best return for us. So we'll continue with our strategy. There are a couple of things that our, you know, we are focusing on our efforts on. Mobile continues to be a very important strategy for us. Penetration into the second-tier and third-tier cities is also very important for us. And the third one is the outbound business will be high-margin, high-growth area for us. So we will continuously put our dollar into the areas that generate the best return for our shareholders.
Dick Wei - Credit Suisse: Great. Thank you.
Operator: Your next question comes from the line of Mike Olson, representing Piper Jaffray. Please proceed.
Mike Olson - Piper Jaffray: Hey, good morning. You mentioned the mid to long-term margin target, but can you say what you're expecting for Q1 margins? And then secondly, I might have missed this, but would you be able to tell us what Q1 revenue guidance would be for just the core Ctrip business that would be comparable on a year-over-year basis compared to Q1 of last year? Thanks.
Cindy Wang: Sure, Mike. On the operating margin side, in the first quarter of last year, Ctrip together with Qunar had a non-GAAP operating loss at about negative RMB350 million. And this year, with the rational pricing competition scaled back, improved the operational efficiency as well as our very disciplined expenses increase. We expect Ctrip and Qunar's total non-GAAP operating loss will be significantly reduced to a range of negative RMB100 million to zero, or the breakeven level if we perform extremely well. And on the revenue part, because Ctrip and our invested companies share some of the inventories, so it will be very difficult for us to provide a separate guidance for Ctrip alone.
Mike Olson - Piper Jaffray: Okay. And then one other quick question. Could you provide us with an indication of what you expect the diluted share count to be in Q1?
Cindy Wang: The diluted, basic diluted share count by now is roughly about 57 million, ordinary share.
Mike Olson - Piper Jaffray: Okay, thank you.
Cindy Wang: Thank you.
Operator: Your next question comes from the line of Jin Yoon, representing Mizuho Securities. Please proceed.
Jin Yoon - Mizuho Securities: Hi, good morning guys. You guys mentioned that there's some price rationality that's just come into the market. Can you just talk about how much of your net take rates or net commissions have improved in terms of basis points, 100, 200, 300 basis points, whatever that may be? And the second question is, what -- theoretically, given your interests are highly in line with those of Qunar and Yimong [ph], what prevents you guys from scaling back even quicklier -- even more quickly on rebates and couponing, especially on the higher-end hotels? Thanks guys.
Cindy Wang: For the take rate, the synergy, the cooperation between Ctrip and invested companies do help us to improve our hotel commissions. For example, in the fourth quarter last year, the couponing that we gave to our end-users, the ratio between the coupon versus the hotel revenues is -- was 15%, versus the highest rate at about 21% in the fourth quarter of 2014. So we do see our coupon irrational pricing competition being scaled back, and we do believe the more rational couponing or irrational pricing competition is being scaled back.
Jin Yoon - Mizuho Securities: And what prevents you guys from scaling back even quicklier -- even more quickly on such couponing and rebates going forward, especially on the higher end?
Cindy Wang: Yes. Our goal is to provide the best service quality to our high-end customers and not just use the pricing or very aggressive couponing or discounting to attract the high-end customers. While in the comparatively mid to lower end of the market segment, we will continue to offer very competitive pricing to continuously gaining our market share given our existing market share in the lower is comparatively smaller.
James Liang: Yes. So it's not a simple just reducing the coupons because you also have competitions with some other channels such as hotels direct channels. So you need to do a very methodical or, on the price, personalized or more -- the term is actually yield management, needs to do a better yield management based on big data. So actually it's ongoing process. I think it will improve. It will improve. But it should be improved, at the same time not sacrificing the growth rate.
Jin Yoon - Mizuho Securities: Great. Thanks, guys.
Unidentified Company Representative: Thanks, Jin.
Operator: Your next question comes from the line of Amanda Chen, representing Morgan Stanley. Please proceed.
Amanda Chen - Morgan Stanley: Hi. Good morning, management, and thank you for taking my question. I have maybe two here. First is regarding your cost of revenue which declined quite significantly Q-on-Q, so, can you give us some reason behind this decline in cost of revenue? Thank you.
Cindy Wang: Yes. There's two reasons that we can have very reasonable cost of service versus the net revenue. The first is we have a very disciplined headcount increase in our call centers and we improved our call center efficiency very significantly over the past two years. And the second reason is because the couponing that we give to our end-users being scaled back, it helped us to improve our gross margin.
Amanda Chen - Morgan Stanley: Got it, thank you. And the second one is regarding your air ticket revenue. I'm not sure if you guys will provide such detailed breakdown, but can you share us how much revenue is from the commission paid by airlines and how much is from your cross-selling products? Thank you.
Cindy Wang: Yeah. Because from -- you're talking about the Q4, right? So for Ctrip, we have both the agent and open platform model. Open platform accounts for roughly 60% of our total air ticket volume.
Amanda Chen - Morgan Stanley: Right. But if we translate to the take rate, now we are around like 4% take rate of the air ticketing, if I remember correctly. So, within the 4%, how much is contributed by the airline commission fee and how much is from the cross-selling products?
Cindy Wang: Our branded air take rate is still within the range of 4% to 5%. And for the agent model, we do receive some volume incentive from the airlines, and we also -- we also -- part of the take rate comes from the cross-selling that Ctrip -- where we sell the air tickets, we cross-sell, for example, the insurance, the hotel coupon, and to increase the user stickiness to Ctrip, to help us increase the air ticket revenue and at the same time to increase the stickiness of our user on Ctrip's platform.
Amanda Chen - Morgan Stanley: Got it. Excuse me, I have a quick follow-up. So, can you share with us how much of the customers who also buy your cross-selling products when they buy the air ticket?
Cindy Wang: Yeah, the cross-selling, because we dynamically adjust the product that we cross-sell together with our air ticket, so the purpose for the cross-selling is to improve the user experience, and at the same time to increase the conversion rate of our air ticket products. So it's a very dynamic way to look at the percentage of the cross-selling, but we do believe cross-selling has already -- contribute a significant portion of our total air ticket revenue.
Amanda Chen - Morgan Stanley: Got it. Thank you very much. Very helpful.
Unidentified Company Representative: Thank you.
Operator: Your next question comes from the line of Juan Lin, representing 86Research. Please proceed.
Juan Lin - 86Research: Hi. Good morning, James, Jane, Cindy, Shu Wei [ph] and Michelle. This is Juan calling from 86Research. Thanks for taking my questions. I have two questions. The first one again is related to your first quarter guidance. Your first quarter guidance, if we compare to the total revenue of Ctrip less Qunar last year, is implying around 37% to 41% year-over-year growth. Over the last year, full year, the gross profit growth was about 50% for each quarter on a consolidated basis. I'm wondering whether the first quarter, that's the bottom for revenue growth for this year and when should we expect a growth acceleration for your revenue? This is the first question. Second question is, with the recent actions airlines have taken against platforms, do you expect the volume contributed by your open platform to your air ticket booking business to decline as a percentage of total? And how would air ticketing commission rate trend going forward? Thank you.
Cindy Wang: Sure. So if you look at our long-term growth rate from now to the year 2020, the implied CAGR is around 30%. We believe we are on the right track to achieve our long-term growth rate. And also I think it will be very difficult for us to provide so-called Ctrip alone revenue guidance because Ctrip and our invested companies share some backend inventory systems. And for the question -- as for the question on the air ticket. Ctrip has both the open platform model as well as the agent model. So even we lost some volumes from the open platform, it was largely compensated by our direct agent model, which actually contributes higher revenue for Ctrip.
Juan Lin - 86Research: Thanks, Cindy. If I could follow up with the first one. So, are we expecting the growth to bottom in the first quarter, so, which means we may see a growth acceleration in the later part of the year?
Cindy Wang: We do believe this -- because it's still early to provide a full-year guidance at this moment, but we do believe this revenue guidance is -- represents a very healthy and sustainable growth for both Ctrip and Qunar.
Juan Lin - 86Research: Thank you very much.
Unidentified Company Representative: Thanks.
Operator: Your next question comes from the line of Jialong Shi, representing Nomura. Please proceed.
Jialong Shi - Nomura: Hi, good morning, James, Jane, Cindy and Sue Wei [ph]. Thanks for taking my call. I have two questions. First question is about the air ticketing. We know that Chinese airlines are under pressure to increase their direct sales percentage. So, will that mean the OTA as an industry will lose market share in the air ticketing business going forward? And secondly, for the hotel business, so, after Qunar's acquisition, there are still two very strong competitors in the hotel market, ANI [ph] and Maytuan. So, just wonder how management thinks of the competitive landscape for the online hotel booking industry and what are Ctrip's strategies if any of these competitors resort to irrational couponing or marketing in their bid to grab market share? Thank you.
Jane Sun: Sure. I will address your two questions. First of all, on the airline business, I think both airlines and OTAs will grow very healthily, because the market is growing rapidly and both airlines will benefit from it and the companies that provide good services will benefit from it. I think airlines are also very smart and very market-driven. So they will compare the costs of their direct sales versus the money they are paying to the OTAs. If the direct sales cost is higher than the OTA cost, then naturally, by giving OTA tickets to sell for them, will generate more profit for airlines. So, a rational company will compare, you know, the costs internally versus the costs externally. Whichever channel gives them the best bottom line will be able to benefit the airlines for that. And from OTA perspective, I think we always work very closely with the airlines to support them on the sales channel. Our strength is excellent customer service and strong technology platform. And we will continuously to invest in the technology and also customer service to well-support our partners for airlines to generate the best yields and the best bottom line for them. So that's on the OTA side. And then regarding on the hotel. Yes. I think Ctrip team is always working very hard in the hotel team. Again we have a promise with our customers to give them the best service and best price and best technology to service them. We also have promised with our partners to support them on the backend, to drive the volume for them. In this market, there will be many players as always. There is never a year that, you know, Ctrip is the only player. We always welcome many players in the market. So the other players also provide value in the chain. But again, with Ctrip's investment in the technology and customer services, we believe for the travel market Ctrip will be able to extend our leadership in this market.
Jialong Shi - Nomura: Thanks for the color, Jane.
Jane Sun: Thanks.
Operator: Your next question comes from the line of Tian Hou, representing T.H. Capital. Please proceed.
Tian Hou - T.H. Capital: Good morning, management. I have two questions. The first one is really to your platform model. So your platform model actually generated a lot of traffic and cross-selling result. And in the past, when you design the platform and was actually in the sense of anti-competition, so, right now you have already invested in your competitor in that front. So I wonder, going forward how you're going to deal with this platform business and what's the strategy behind it. That's number one. Number two is for your guidance. So, is that possible to provide some volume growth color in different lines of business, in hotels and your transportation? That's my two questions. Thank you.
Jane Sun: Sure. I think platform model versus self-made tool has its strength and weakness. The platform model give you the wide coverage and also time to market. The self-made tool business give you the strength in customer service. You have more control in these products. So, depending on the customer's need, we're very -- customer is always the king. So, certain customers that focus on reliability and also focus on quality, they naturally will choose to have self-packaged tour as their first choice. And then younger generation, which has a lower income level, price -- they're more price sensitive, then we need to provide them with, you know, price, you know, the products with advantage on it. So as long as you tailor our product offering to these customers and our product display needs to be customized, then we will be able to maximize our strengths and best address different customers at different times. So our technology team spend lots of time to do every testing to make sure they provide the product that is best-suited for our customers' needs. In terms of guidance on volume, I think Cindy provides you with the guidance, and they are mainly driven by volume.
Tian Hou - T.H. Capital: Thank you, Jane.
Cindy Wang: Thanks.
Operator: Your next question comes from the line of Ming Xu, representing UBS. Please proceed.
Ming Xu - UBS: Morning, management. Congratulations on the strong quarter. So I just have a couple of questions, small questions on your guidance or outlook. So the first one is I just want to clarify, when you say your Q1 revenue will grow by 75% to 80%, are you comparing to Ctrip or -- in Q1 2015 or Ctrip plus Qunar in Q1 2015?
Cindy Wang: Yeah, as we consolidate the Qunar's financials from accounting perspective, from December 31 last year, so from this year we will consolidate Qunar's profit and loss. So the 75% to 80% forecast this year includes Qunar's revenues compared with Ctrip's U.S. GAAP -- Ctrip's revenue under U.S. GAAP last year.
Ming Xu - UBS: Okay. So the comparison base for last year is Ctrip alone?
Cindy Wang: Yes.
Ming Xu - UBS: Okay, got it. Okay. And then the second question is, could you maybe help us understand your current ownership in Qunar? Because I think you announced in early January a deal to further increase your stake in Qunar. So I wonder what's the status now or maybe after the close of this deal, or how much percentage do you expect to own in Qunar?
Cindy Wang: Sure. After the transaction with Baidu, Ctrip own approximately 45% voting interest in Qunar. And subsequent to that, Ctrip issued shares and cash to some SPVs and investment entities and affiliates with Ctrip. So therefore, from accounting perspective, Ctrip will start -- started to consolidate Qunar from the end of last year.
Ming Xu - UBS: So the number you can share, is that 70% or 80%, or what's the rough number?
Cindy Wang: Yeah, we will consolidate Qunar's financials from this year.
Ming Xu - UBS: Okay, got it.
Cindy Wang: -- from this year.
Ming Xu - UBS: Sure, got it. So the second question is on the transportation. So when you said transportation revenue will grow by 100% to 110%, is that revenue or volume?
Cindy Wang: It's the revenue, transportation revenue.
Ming Xu - UBS: Revenue. Okay. So, compared to your -- the growth rate in the past few quarters, that accelerates significantly. So I'm just wondering what's the driver behind that.
Cindy Wang: Yeah, train ticket contributes a much higher, especially the contribution from the volume, and this is the main reason that you see a very high growth rate for the fourth quarter of last year.
Ming Xu - UBS: Yes. So, could you maybe share with us the -- maybe through numbers the ASP or take rate of train ticket and also the revenue contribution of train ticket within your total transportation ticketing business?
Cindy Wang: Yes. Still majority, vast majority of the revenue is still contributed from the air ticket business. But for, yes, but for Ctrip, our goal is to provide one stop transportation solutions to our end-users. So it will be more meaningful to combine different product alternatives, including air ticket, train ticket, bus ticket, as well as the car rental services, within one single line item, when we provide guidance or the revenues.
Ming Xu - UBS: Got it, got it. Okay, my last question is on the outbound trip. So, one of your competitors that specialize on more outbound trip, a couple of weeks ago, when they reported, I think the guidance for Q1 was significantly lower than the previous growth rate. So I'm just wondering, on Ctrip's, on your perspective, so what's your outlook for Ctrip's outbound travel business for Q1 also for 2016? Do you see a slowdown in demand? Thanks.
Cindy Wang: Sure. So in -- this year, still the outbound travel will be a key growth driver for Ctrip across all business lines. For the packaged tour business, outbound travel already accounts for roughly 60% to 70% of our total packaged tour revenue. And we see the growth trajectory is still very well.
Ming Xu - UBS: So you don't -- so for Q1 2016, you don't really see a slowdown in growth?
Cindy Wang: Yeah, we forecast we'll have a very healthy growth, for the packaged tour business, we see a very healthy growth rate at about 40% to 50%, for the first quarter.
Ming Xu - UBS: Okay, okay. Very helpful, thanks.
Jane Sun: Thank you.
Operator: Your next question comes from the line of Alice Cai, representing HSBC. Please proceed.
Alice Cai - HSBC: Hi, management. Thank you for taking my questions. I have a question about the distribute of airlines and Qunar. I want to see how much of the sales agency were squeezed out to Ctrip and, on a standalone basis, how much benefit Ctrip will get this share from Qunar. And so far now, like Ctrip is the only provider for -- on Qunar's platform for the Air China and China South Airlines, so, how much market share you can gain from this on a standalone basis, yeah?
James Liang: Yes. So, well, Qunar is, itself, is -- historically has been operating a different model, so, more of a price competitor and metasearch engine. So it will direct traffic to us. Other OTAs [inaudible] on direct website. So in the past it's been doing that. Of course now there's more traffic directed to Ctrip. We haven't -- we think the situation is still being developed. I think Qunar, they're working with the airlines to [inaudible] they will diversify their traffic destination. So right now I really cannot give a confident [ph] number, but we are operating a different model, so there's some, you know, it's not apple to apple comparison in our volume or our revenue with Qunar. Qunar sometimes get revenues by click.
Alice Cai - HSBC: Thank you. That's very helpful. I have a following up question about outbound travel. So [inaudible] the guidance for the segments, seems like that on a consolidated basis, the pack tour is very -- growth is just 40% to 50%. This is -- given this is consolidated of Qunar, seems it is a little bit weak. So, whether this is because -- macro environment or any of the weak 2016, falling exchange rate?
Jane Sun: Qunar's packaged tour is very small. So the number that you are picking up is not significantly influence the growth rate overall. So it's -- the 40% to 50% for us represents a very healthy and promising growth rate going forward. And secondly, our packaged tour business is very rational and very profitable. So we didn't do any irrational spending to artificially boost the volume. So, everything we do, we want to make sure it's ROI-positive. So the sustainable growth rate, 40% to 50%, is very sustainable and healthy.
Alice Cai - HSBC: Okay. Thank you very much.
Operator: Your next question comes from the line of Julia Pan, representing Macquarie. Please proceed.
Wendy Huang - Macquarie: Hi. Sorry, it's Wendy Huang from Macquarie. So my first question is --
Unidentified Company Representative: Hi, Wendy.
Wendy Huang - Macquarie: -- about GMV -- hi. I think, historically you provide the annual GMV figures. So, what was the total GMV for 2015?
Cindy Wang: The total GMV for 2015 is RMB350 million --
James Liang: Billion.
Cindy Wang: Billion.
Wendy Huang - Macquarie: Okay. And also I think in the past you provide the rough kind of numbers for the gross margin by different major segments. Given that the elements in those three segments have changed a lot in the past two years, can you maybe update the numbers on the segmental gross margin? And related to that, you mentioned earlier that half of your packaged tour is actually produced in-house and half from suppliers. So what's the gross margin difference between the in-house versus third-party ones for the packaged tour business?
Cindy Wang: Sure. So for the GMV, still, transportation reservation service still accounts for majority of our total GMV. For the packaged tour business, it's different from, for example, the group tour business, the open platform already accounts for roughly 40% of our total packaged tour volumes. And for the self-guided tour, still vast majority of the volume contributed from Ctrip's in-house developed products. And in terms of the margins, yes, the open platform, the margin from the open platform could be slightly lower than the self-generated products. But in terms of the operating margin, which including the product development people essentially, the open platform has a higher margin, at least similar level of the operating margin compared with Ctrip's in-house developed products.
Wendy Huang - Macquarie: Thanks. On the non-GAAP OP loss margin that you mentioned earlier for the full year, so if I got it correct, is the non-GAAP OP loss, RMB100 million to zero, in 2016, I think Qunar mentioned earlier in the call that they're still targeting the second half breakeven at the OP level. If this is the case, your consolidated full-year non-GAAP OP margin guidance seems to suggest that your organic margin is actually not going to improve versus 2015 level. Can you maybe provide more color on the organic margin expansion for this year implied by your guidance? Thank you.
Cindy Wang: Sure. So the negative RMB100 million to zero actually is the operating -- non-GAAP operating margin only for the first quarter of this year. And normally the first quarter is the slowest season. Yeah. And Ctrip --
Wendy Huang - Macquarie: I think you mentioned a number, RMB350 million, as well.
Cindy Wang: This is the number for the Ctrip and Qunar's total loss in the first quarter of last year.
Wendy Huang - Macquarie: Oh, I see.
Wendy Huang - Macquarie: So actually the net loss will be significantly reduced in the first quarter.
Wendy Huang - Macquarie: I see. So, lastly, on the share count. So the Q4 share count, ordinary shares, only came in at 49 million. So [inaudible] in the CB [ph] dilutions and also all the Qunar transaction-related share dilutions, i.e. a two-month Baidu share swap and one-month employee share swap impact? And also you mentioned earlier that by Q1 the share count will be around like 57 million. I just wonder whether this number will increase further by the end of 2016. And also related to that, previously I think for Ctrip alone, you were issuing like 1 million share grants a year. Now on a consolidated basis, is there any change with this number? Thank you. That's all my questions.
Cindy Wang: Sure. Thank you, Wendy. So the -- recently the total basic share outstanding of Ctrip is about 57 million ordinary shares. And this actually is the number. We will continuously to grant stock options to intensify our teams. And in the first of -- in the first quarter of 2016, on top of the normal share-based compensation charges, we will have a non-recurring transaction-related share-based compensation, the total charge will be approximately RMB1.5 billion. And going forward there will be no further one-time transaction related share-based compensation charges.
Operator: Ladies and gentlemen, that was the end of our questions session. That concludes today's conference. You are now able to disconnect. Have a great day.
Unidentified Company Representative: Thank you very much.
James Liang: Thanks.